Operator: Thank you for joining us for Navios Maritime Partners' Fourth Quarter and Full Year 2020 Earnings Conference Call. With us today from the company are Chairman and CEO, Angeliki Frangou; Chief Financial Officer, Mr. Stratos Desypris; and Executive Vice President of Business Development, Mr. Georgios Achniotis. As a reminder, this conference call is being webcast. To access the webcast, please go to the Investors section of Navios Partners' website at www.navios-nlt.com. You'll see the webcast link in the middle of the page and a copy of the presentation referenced in today's earnings conference call will also be found there. Now I will review the safe harbor statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners' Management and are subject to risks and uncertainties, which could cause actual results to differ materially from the forward-looking statements.
Angeliki Frangou : Thank you, Doris, and good morning to all of you joining us on today's call. I am pleased with the results for the full year and fourth quarter of 2020. For the full year of 2020, Navios Partners reported revenue of $226.8 million and adjusted EBITDA of $99.8 million. For the fourth quarter, Navios Partners reported revenue of $69.2 million and adjusted EBITDA of $35.5 million. Our merger with Navios Maritime Containers was approved and is expected to close on March 31, 2021. This will be a transformative transaction for Navios Partners and will carry the significant benefits of diversification. As you can see on Slide 4, pro forma for the merger, NMM will have 85 vessels. Approximately half of the fleet will be drived by vessels, and the other half will be container ships when measured by the number of vessels. The benefits of diversification are reflected in recent market activity. The container segment began strengthening in the third quarter of 2020, while the dry bulk market become turning in 2021. The transaction based scale through a larger diversified asset base with an increased earning capacity. The large entity will benefit from a simplified capital and an organizational structure, thereby, reducing costs. The entity will have an enhanced credit profile through increased cash flow supporting deleveraging as well as growth. Moreover, the large asset base will provide the entity a significant parcel of collateral value. The financial potency of this combination can be measured through the pro forma combined results of 2020. Had the merger been effective for 2020, the pro forma revenue would have been $354 million. Even this metric somewhat understates the opportunity as the underlying rate market for year-to-date in 2021 is materially higher than it was on the average for 2020. And NMM already has more than that contracted for 2021.
Stratios Desypris: Thank you, Angeliki, and good morning. I will briefly review Navios' financial results for the Fourth Quarter and Year Ended December 31, 2020. The financial information is included in the press release and is summarized in the slide presentation on the company's website. Before I start discussing our financial highlights, I would like to draw your attention to see one-off items that are listed in Slide 11. For simplicity, the discussion of the financial results below exclude the effect of the one-off items listed in this slide. Included in this adjustment is a $42.6 million impairment on our investment in Navios Containers, bringing its book values to approximately $25 million.
Georgios Achniotis: Thank you, Stratos. Please turn to Slide 18. With the help of a strong second half 2020 ended the year with a BDI averaging 1,066. Today, the BDI stands at 2,271 with a year-to-date average more than double its level at the start of 2020, and the highest it has been in 11 years. Governments having put in place emergency monitor and fiscal plans to support the economies have kick-started faster than expected the recovery in the world economy.  This has led the IMF to increase its 2021 GDP growth projection to 5.5%, the highest in 50 years and 4.2% in '22. Demand and restocking is expected to prove demand growth well above net fleet growth, supporting the recent dramatic rising rates. In just the last month, sub trade time charter rates have hit 10-year highs in what is normally a seasonal low period. This increase reflects surging trades, driven by strong demand for both major and minor bulk commodities. 2021 dry bulk trade is projected to increase by 3.7%, and further increased by 2.2% in '22.  Turning to Slide 19. Demand is forecast to outpace net sales growth in both 2021 and '22. The graph on the left shows that for '21, we have to demand for the 3 major cargoes of iron ore, coal and grain is focused on increased by over 3% compared to 2020. If you look at the graph on the right, net fleet growth is focused to be 2.6% this year and only 0.7% for '22. Net fleet growth is expected to remain low over the next 3 years, as the order book is the lowest or effort.  Turning to Slide 20. Despite the pandemic, China set another year record for iron ore imports in 2020 at about 1.15 billion tons which is an increase of 9.4% over '19. Chinese steel production surpassed the 1-billion tons mark in 2020. Global iron ore demand is expected to increase by 2.7% in this year and the additional availability of iron ore shipments to China are expected to increase as still masterplan stockpile, driving demand for Capesize vessels.  Focus are also for growth in iron ore imports around the world as the effects of the pandemic received. Europe's imports are expected to grow at 15% on and Asia, excluding China, is expected to import 9% more iron ore in '21 than in 2020. Please turn to Slide 21. Asian coal imports, which account for over 80% of the world's imports trade, are expected to increase by 4.3% in 2021, following a decline of 6.8% in 2020. The 2020 decrease is mainly attributable to Indian and Chinese imports declining by 13.8%, respectively. Vietnam and other Southeast Asian countries, increased coal imports by 13%.  Turning to Slide 22. Worldwide grain trade has been growing by over 5% CAGR since 2008 mainly driven by Asian demand, which increased by 15% in 2020 and is expected to increase a further 2.9% in '21. Overall, world grain sales increased by 7.7% in 2020 is expected to increase by about 2% in '21. Another increase in world population, food security issues driven by the pandemic as well as increasing protein demand worldwide continue to support the global grain trade. All grain production this year will reach a record according to the international gains counting and the USDA.  Please turn to Slide 23. The current order book stands at a record low of 5.7% of the fleet. You building contracting was down 56% in 2020 compared to '19. Through mid-March 2020 21, contracted is down by about 62% compared to the same period last year. Accordingly, 2021, net fleet growth is expected at 2.6% and only 0.7% for '22. Turning to Slide 25. Vessels over 20 years of age are about 7.6% of the total fleet, which compares favorably with the previously mentioned record low order book. Scrapping totaled 16 million tons in 2020, almost doubles the 2019 total. Year-to-date scrapping has totaled 3.4 million tons, which is on pace for March 2020. Please turn to Slide 26, focusing on the container industry. As previously mentioned, stimulus measures have caused recovery of consumption in the advanced economies. At the same time, but there is increasing industrial production and economic growth in China.  This factor stimulus has led to historic turnaround in global container trade. own rates rose dramatically from midyear 2020, led by the China to the U.S. West Coast and China to Europe freight rates as depicted on the chart on the lower rides. Containership demand growth of 5.7% in 2021 and 3.7% in '22 is expected to exceed supply a pent-up demand for congestion, restocking and increases in consumer demand for goods all support increasing Connie volumes.  Please turn to Slide 27. The recently rapid market recovery has caused extremely high demand for available tonnage, which is in short supply across all segments. In particular, the extremely tight availability of Panamaxes, combined with poor congestion, increasing trade and lack of new buildings has proper period time charter rates to keep 13-year highs of $37,000 per day for periods after a year. As CFI box rates have climbed 222% from April 2020 to March '21, spread by the earlier start of the Chinese equality and from continuing demand for consumables and pandemic related supplies worldwide.  In conclusion, positive demand fundamentals, mainly due to the start of economic activity around the world, along with reduced fleet availability, should continue to support both the dry bulk and containerized shipping industries in their continuing effort to mitigate through raising pandemic stall. This concludes my presentation. I would now like to turn the call over to Angeliki for her final comments. Angeliki?
Angeliki Frangou : Thank you, George. This completes our formal presentation, and we open the call to questions.
Operator: The floor is now open for questions. . We have question from the line of Randall Giveans of Jefferies.
Randall Giveans: Excellent. A couple of questions. I guess, first, for the vessel sales and purchases, it seems like you're obviously adding some dry bulk exposure while shedding some containership exposure. Is this a view on those respective markets? Or is this purely a fleet renewal play? And then going forward, which subsector would you maybe look to grow?
Angeliki Frangou: Actually, what we are doing is repositioning a fleet. We show some vessels that were older and smaller to more commercially attractive vessels. Basically, I mean, we see a lot of value on both segments. We see that it is a different set of fundamentals important. Purely from a point of the market, I'll say that today, you may have some more opportunities to pick up attractive dry bulk vessels because you still have some recovery. Let's not forget that the containership sector has been -- the container sector has recovered from second half of last year versus dry bulk as more this year that we are experiencing a much a different potential.
Randall Giveans : Got it. Sure. That makes sense. And then now that, obviously, the dry bulk and containership markets are both extremely strong. Your balance sheets in great shape. The merger is a week away now, right, so congrats on that. What will it take to increase the distribution? And how will you balance that with maybe unit repurchases as you're still trading at a pretty massive discount to NAV.
Angeliki Frangou : The realities we see our service as a growth platform that we're in the right part of the cycle, meaning we see great upside potential with our fleet. But also, would like to also use the excess in deleveraging. I think that will give us a long-term view on the right. Shipping is always very, very profitable. It is a matter of level, and I want to remind that, and this is something in the back of our mind. So what you should expect from us is a replacement of assets, the new and of fleet, which is part of our ongoing process and strong cash generation with a deleveraging effect.
Randall Giveans: Sure. Okay. And then lastly, just quickly, can you provide any quarter-to-date rates for the first quarter now that we're a week away from that being concluded for the dry bulk vessels?
Unidentified Company Representative: Yes, we have put out some details also in our press release today. So you will see that we are almost 100% fixed on both sides, both in the dry bulk but also the container side. On average, we are approximately just over $15,000 chartered on the dry side and around $17,000 on the containerships. Just to remind you, for your modeling purpose, so just to remind you that Navios containers the full results will be included in our results from first April as the measure is expected to close on March 31. So you will see the effect of the results in April 1 and going forward.
Operator: At this time, I'm showing no further questions. I'd like to turn the floor back over to Angeliki Frangou for any closing remarks.
Angeliki Frangou: Thank you. This completes our Q4 results. Thank you.
Operator: Thank you. Ladies and gentlemen, this does conclude today's conference call. You may now disconnect.